Operator: Good morning, ladies and gentlemen, and welcome to the Q3 2018 ExlService Holdings Earnings Conference Call. [Operator Instructions] As a reminder, this call will be recorded. I'd now like to introduce your host for today's conference, Mr. Steve Barlow, Vice President of Investor Relations. You may begin.
Steve Barlow: Thank you, Katharine. Hello and thanks to everyone for joining EXL's third quarter 2018 financial results conference call. I'm Steve Barlow, EXL's Vice President and Investor Relations. With us here today, in New York, is Rohit Kapoor, our Vice Chairman and Chief Executive Officer; and Vishal Chhibbar, our Chief Financial Officer. We hope that you've had an opportunity to review our third quarter earnings release we issued this morning. We've also updated our investor fact sheet in the Investor Relations section of EXL's website. As you know, some of the matters we'll discuss in this call are forward looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to, general economic conditions, those factors set forth in today's press release, discussed in the company's periodic reports and other documents filed with the Securities and Exchange Commission from time to time. EXL assumes no obligation to update the information presented on this conference call. During our call today, we may reference certain non-GAAP financial measures, which, we believe, provide useful information for investors. Reconciliation of these measures to GAAP can be found in our press release as well as on the investor fact sheet. I'll now turn the call over to Rohit Kapoor, EXL's Chief Executive Officer. Rohit?
Rohit Kapoor: Thank you, Steve. Good morning, everyone, and welcome to our third quarter 2018 earnings call. We had a strong third quarter and maintained our trajectory of double-digit growth. In the third quarter, we generated revenues of $231.1 million, which represents a 20.2% year-on-year growth on a reported basis. We also achieved an adjusted EPS of $0.71. Our Analytics business had another outstanding quarter with $82.7 million in revenues, growing 18.2% organically, and on a reported basis, growing 53.9%, including a full quarter of revenues from SCIO. Operations Management revenues grew 7.1% year-on-year to $150.7 million. Last quarter, I discussed our success in winning large transformative Operations Management deals, and our strong growth in Consulting. Today, I'd like to focus my comments on 2 areas: number one, the growth of our Analytics business; and number 2, the investments we're making in talent to support our clients' digital agendas. Our Analytics segment now represents 36% of our business. In Analytics, we are growing across all our industries, capabilities and geographies. We have built an end-to-end analytics capability through organic and inorganic investments that allows us to win higher margin and more complex client engagements. This comprehensive analytics stack includes proprietary data assets, data management, business intelligence, business strategy, predictive modeling, insight generation and the execution of those insights to deliver tangible business outcomes. Let me highlight 4 observations about the performance of our Analytics business: one, we have seen continued revenue growth across all our business verticals within Analytics. We have built on our strengths in banking, health care and insurance, and we have been consistently ranked as a leader by several top industry analysts. We have received expanded mandates from existing customers, and we have 121 new client wins in the past 9 months. Our reach has also extended with clients across media, retail, utilities and transportation & logistics. Number two, we are winning in new geographies in Analytics. We have seen significant growth in the U.K. and in Continental Europe. We have also seen a strong start in Australia and Asia-Pacific, and we're expanding into new markets in Canada, Central America and South Africa. This geographic expansion allows our Analytics business to be more diversified, and it unlocks new drivers for sustained growth. Three, we have successfully integrated strategic acquisitions to build our comprehensive analytics stack. In the past 3 years, we acquired capabilities in areas such as enterprise data management, marketing analytics, proprietary data assets and banking analytics services. These acquisitions enhance our overall value proposition to our clients. It takes us a couple of years for our strategic rationale on acquisitions to be validated, however, now each of our acquisitions in analytics is generating incremental sales at our existing clients, helping us win new customers and are performing as per our investment thesis. We have confidence in our track record of integrating acquired capabilities into our overall analytics offerings. To that end, I'm pleased to say that the SCIO integration is proceeding well. We have held workshops with key clients who are being very receptive about the value proposition of our combined teams. Four, we are building advanced capabilities to create new drivers for growth and deliver more significant business outcomes for our clients. We have built a world-class advanced analytics capability with more than 4,300 professionals, which include experienced data scientists, analytics practitioners, machine learning specialists, enterprise data management experts, data architects and data operational resources. This team has deep expertise in solving business problems and creating business value through the application of predictive analytical techniques across our chosen business verticals. We're also leveraging our intellectual property and our data assets to create industry solutions, which are being taken to market by us and by our channel partners. Let me provide 2 client case studies to better illustrate the kind of work we're doing. In the third quarter, we won an engagement with a leading European entertainment and media company to help them significantly shift legacy customer engagement models to their digital channels. Our team is helping improve overall customer engagement for this client, which results in higher renewal rates and greater sales of new subscriptions. In this engagement, we are truly embedded into the clients' digital business, and we're performing in an agile manner. EXL is generating insights as scaled throughout every part of the customer journey. This includes the implementation of a framework to drive thousands of overlapping experiments across mobile and desktop devices. We're also improving reporting and visualization to better inform decision-makings and rapidly optimize strategies. In another example, we are partnering with a large life and annuities insurer to implement an enterprise data management capability. Insurance companies are significantly investing in data management to drive better customer analytics. Better understanding their end-customers is a key component to digital transformation and can result in improved customer engagement, higher retention and enhanced customer lifetime values. For this client, we are establishing best practices for managing all forms of information assets and creating strategies to generate value and insights from that data. We are building a governance structure for data standards, processes and policies, and we are building an enterprise data architecture to deliver a data strategy that is fully aligned with that business goals. Our growth across verticals and geographies, combined with our ability to integrate acquired capabilities and develop new advance solutions, gives us confidence in the continued growth of our Analytics business. The second area of focus I'd like to discuss today is how we are investing in building our talent. Our goal of operating as a strategic digital transformation partner, critically depends upon our ability to acquire and develop talent. We're approaching the goal of acquiring the best talent at 3 different levels: first, we're strengthening our talent acquisition teams across all businesses. To lead that process in the U.S., we have appointed a new Head of U.S. Talent Acquisition from a top tier technology-oriented consulting company. We are also embedding talent-acquisition teams within Consulting, Digital and Analytics. These teams will be able to forecast, engage and acquire talent in alignment with the strategic priorities of each of these businesses. Second, we continue to expand on leadership capacity, while building a strong foundation of digital talent. In the third quarter, we hired a senior executive to grow our customer-assistance operations in the U.S. We also added a new Head of our LifePRO platform business, who joined us from Oracle with a strong background in running and managing insurance software businesses. In the past year, we have hired more than 300 professionals with backgrounds in program management, product development and digital technologies. Our management training program hires from top campuses and includes a rigorous enterprise-wide development program. This program is now a key component of building our leadership pipeline. Third, we are investing in building an active talent pool in our Consulting and Digital businesses in light of strong demand. Our Analytics business had always successfully executed on this strategy, and we are now extending that model to other parts of EXL. While the acquisition of talent is important, it is equally important to focus on talent development, and we have taken 3 broad steps in this direction: first, we have launched a comprehensive training program across EXL to develop our own digital capability. This training program is customized based on an employee's role and includes 3 certification levels, all of which are anchored around critical digital capabilities, such as artificial intelligence, robotics and design thinking. In the first half of this year, we trained nearly 500 people in robotics methodologies and another 300 in design thinking. Second, we are focused on building a culture that encourages digital initiatives and allows digital talent to innovate. We have pivoted our internal processes including internal communications to digital solutions. We now host global town halls that are digitally delivered and more and more of our teams are participating in hackathons that solve client problems, create new solutions and bring out the best in our digital talent. Third, we continue to strengthen our academies that build domain capability. Our Insurance, Healthcare and Analytics academies update their content in line with the development in the digital space for their respective domains. We are using an experiential learning initiative to educate all of our 28,000 employees in our approach on digital intelligence. Above all, we are now clearly becoming a destination for top quality talent. We are able to provide talented people with challenging and interesting assignments as well as strong growth in their careers. The nature of work that we are engaged in enables our employees to learn and stay on top of the technology curve. Our revenue per employee is also growing at a strong rate. Our emphasis on digital intelligence, our heavy investment in capability development and our culture has created a reputation that attracts bright, digital talent that is on top of its game. In the past 2 months, we've also strengthened our board of directors and our corporate governance. In September, we welcomed Jaynie Studenmund who brings a strong career in banking and digital as well as experience in leading several startups and public internet companies. In early October, the Orogen Group made a $150 million investment into EXL. At the close of this transaction, Vikram Pandit, former CEO of Citigroup, also joined our board. Their decision to invest in EXL validates the strength and sustainability of our business model for the long term. We are excited to have Jaynie and Vikram join our board. I'd like to close with a brief update on our pipeline. The global macroeconomic environment is positive. Our industry overall is in a great position with some of the strongest demand that we have seen in the past several years. This demand is being driven by larger and bigger deals that are much more global in nature and focused on transformation. These types of deals play to our strength. We have been consciously focused on delivering better business outcomes, building strategic, collaborative relationships with our clients and focusing on execution. Our approach is being validated both in terms of our growth and our pipeline. And the value that we deliver to our client is visible through our recent client satisfaction survey, which saw a 10-point increase in our net promoter scores from last year. Overall, we are very pleased with our performance over the first 9 months of the year and, we believe, we have created a solid foundation for 2019. With that, I will turn the call over to Vishal.
Vishal Chhibbar: Thank you, Rohit, and thanks, everyone, for joining us this morning. I would like to start by providing insight into our financial performance for the third quarter and 9 months of 2018, followed by updated guidance for the year. We had a strong quarter with revenues of $231.1 million, up 20.2% year-over-year or $233.5 million, up 21.4% on a constant currency basis. Our revenues grew 9.5% year-over-year on an organic constant currency basis. This is the second highest growth rate in the last 9 quarters. Sequentially, our revenues grew 1.5% on an organic constant currency basis. For the quarter, revenues from our Operations Management business, as defined by the 5 reportable segments, grew 7.1% year-over-year to $148.4 million or an increase of 8.7% on a constant currency basis. This is -- this growth was primarily driven by our clients from Insurance, Finance and Accounting and other segments. Finance and Accounting delivered double-digit growth of 15.5% year-over-year, on a constant currency basis. This growth was driven by ramp-up of large deal wins of 2017 and '18 and expansion with our existing clients. Insurance grew 9.1% year-over-year on a constant currency basis. This growth was driven by a ramp-up of 2018 and prior wins -- prior-year wins and expansion in existing clients. Healthcare grew 8% year-over-year on a constant currency basis. Health Integrated in this quarter contributed $3.7 million to our revenues. All other segments grew 13.7% year-over-year on a constant currency basis, driven by strong double-digit growth in Consulting. Analytics continued its strong 2018 performance with revenues of $82.7 million, up 53.9% year-over-year, including $19.2 million of revenues from the acquisition of SCIO Health Analytics. On an organic constant currency basis, Analytics grew 18.3% year-on-year. This is the second highest growth rate in the last 8 quarters. As Rohit mentioned earlier, Analytics saw growth across all our industries, capabilities and geographies. Sequentially, Analytics grew 6.8% on an organic constant currency basis. Analytics post-SCIO acquisition now contributes 36% of our total revenues, compared to 28% last quarter. For the first 9 months of 2018, our revenues grew 14.8% year-over-year to $648 million or 14.9% on a constant currency basis. On an organic constant currency basis, our revenues grew 9.1% year-over-year, up 250 basis points from the last year. This growth was driven by expansion of existing client relationships across our verticals, new strategic wins of prior years and new wins in 2018. Operations Management revenue grew 9.6% and Analytics 29% year-on-year on a constant currency basis. SCIO contributed $19.2 million and Health Integrated contributed $13.6 million for the first 9 months of the year. We won 14 new clients in third quarter and 35 new clients in the first 9 months of the year. These new client wins are broad-based across all our businesses and markets with some having potential to become top accounts for us in the future. Our revenue per employee is $32,500 per annum, up 13.1% year-over-year. This improvement is driven by higher contribution of Analytics revenues. Our SG&A expenses declined by 60 basis points year-on-year to 19.5% of revenues, driven by operating leverage of 50 basis points and FX tailwind of 10 basis points. Adjusted operating margin for the quarter was 14.1%, an improvement of 50 basis points sequentially, driven by operating leverage and FX tailwind. Health Integrated had a dilutive impact of 140 basis points for the quarter. Our adjusted EBITDA for the quarter was $40 million, compared to $36.7 million in Q3 2017, up 9% year-over-year. Our tax rate for the quarter was 27.3%, which includes the impact of discrete items, namely excess tax benefits recognized on stock compensation. Excluding the impact of discrete items, our normalized tax rate for the quarter was 28.6%. Our tax rate for the first 9 months of the year was 29.2%, excluding the impact of discrete items, such as transition tax adjustment in Q1 and excess tax benefit recognized on stock compensation. This is in line with our expected range of 29% to 30% for the year. Our adjusted diluted EPS for the quarter was $0.71. For the 9 months of 2018, our adjusted diluted EPS was $2.02, up 6.3% year-over-year, excluding the onetime tax benefit of $0.09 in Q2 2017. Now talking about other financial metrics. Our balance sheet as of September 30 at $242.5 million of cash and short-term investments and a borrowing of $300 million. Our net debt is $57.5 million. On October 4, we closed the sale of 150 million convertible senior notes, due in 2024, with a coupon of 3.5% to Orogen Group. As Rohit mentioned, we are pleased to have Orogen make this investment in EXL. We used the proceeds to repay $150 million of our outstanding revolver. During the first nine months of the year, we spent $30.1 million on capital expenditures with an expectation of $35 million to $40 million of capital expenditure for the year. We also repurchased 503,000 shares for $30 million under the share repurchase program. Now moving to our guidance for 2018. We are updating our revenue guidance for the year to be in the range of $877 million to $885 million, compared to our prior guidance of $878 million to $892 million. At the midpoint, our revenue guidance is $881 million, compared to $885 million in prior guidance, driven entirely by $4 million of FX headwind at current exchange rate. This guidance represents a year-over-year constant currency growth of 16% to 17%, compared to 15% to 17% in our prior guidance. In terms of adjusted diluted EPS, we have narrowed the range to $2.72 to $2.78, while maintaining the midpoint at $2.75. In conclusion, we delivered a strong third quarter and 9-month performance for 2018, with year-to-date revenues growth of 14.9% on a constant currency basis. Our core growth business is performing very well with improving revenue growth trends and margin improvements. We are confident that we can continue these trends in Q4, as we expect to exit the year with strong visibility for 2019 revenue and business growth. And now, Rohit and I would be happy to take questions.
Operator: [Operator Instructions]. Our first question comes from Maggie Nolan with William Blair. Your line is open.
Maggie Nolan: I wanted to ask about the guidance, you brought up the low-end of the guidance range on a constant currency basis. So where are you seeing outperformance and what's driving you towards the higher end of that previous range?
Vishal Chhibbar: So in terms of the performance, you can see that our Analytics business has performed very well, and we continue to seek sustained growth in our Operations Management. And based on our outlook for rest of the year, we were confident to hit our midpoint of our guidance, and we have narrowed the range accordingly.
Maggie Nolan: Okay. And then in terms of that organic constant currency guidance that you provided last quarter, is that consistent? Or has that underlying organic constant currency guidance changed as well?
Vishal Chhibbar: In fact, as I mentioned in my prepared remarks, our earlier organic constant currency growth range was 15% to 17%. And we have narrowed it down to 16% to 17% for the year. On organic basis, I think, our range remains the same.
Maggie Nolan: Great. And I wanted to talk about the comments that you made about talent acquisition. You talked about strengthening the teams, just wondering, what does that entail? Is it more of a reorganization of the teams? Or is there a significant investment that needs to take place here? And is that something that's going to show up in the P&L in the coming quarters and over into 2019? Thank you.
Rohit Kapoor: Sure. So on digital talent. We continue to make investments both in talent as well in terms of technological assets and capabilities. These are all planned investments that we have. And they strengthen our leadership team, they develop the core middle-management of our businesses, and reorient people for doing the work towards the adoption of more digital technologies. As we scale up our business and as we engage with our clients that want much more of digital transformation, we think, this is the right strategy for us to make these investments in human assets and technological assets.
Operator: Thank you. Our next question comes from Mayank Tandon with Needham & Company. Your line is open.
Kyle Peterson: Hey, good morning. This is actually Kyle Peterson, on for Mayank. Thanks for taking the questions. Just wanted to talk a little bit about revenue growth. Just, kind of, see with SCIO now come in the fold, obviously, you had a very strong quarter on Analytics, how should we, kind of, think of the revenue growth going forward on the Analytics versus the Operations Management side.
Rohit Kapoor: Sure, Kyle. So I think the analytics part of our business, we think, it grew very nicely on an organic basis. And then it grew very nicely on a combined basis along with SCIO. As we mentioned in our prepared remarks, the revenue synergies associated with an acquisition normally takes a couple of years to fully play out and resonate in the marketplace. So right now, the integration of SCIO is proceeding on track and is proceeding quite nicely, however, the business results associated with this acquisition will only start to show up in terms of real revenue synergy, I would imagine, in subsequent quarters and subsequent years. We also think that our Operations Management business is performing quite nicely. And it is in line with our expectations. So frankly, we're pleased with how both of these 2 areas of the company are performing.
Kyle Peterson: Okay, great. And then, I guess, just last one for me and I'll hop out. I just wanted to see if you guys have any color on the BFS side vertical. This quarter, it looks like, at least, sequentially the revenue might have dipped a little bit. Was there any onetime revenue last quarter that might have beefed that number up? Or just, kind of, want to get a little more color on that.
Vishal Chhibbar: Yes. So hi. The Insurance segment of ours was slightly down from last quarter or flattish, because of the -- some seasonality in terms of volume. And that's something, which is normal, and we don't expect -- we don't see any underlying issues in the business. In fact that business has been growing quite well in YTD, on an organic basis, has grown over 11% this year.
Operator: Thank you. Our next question comes from Bryan Bergin with Cowen. Your line is open.
Bryan Bergin: Good morning. Thank you. Can you say what the Ops Management organic constant currency growth rate was in the quarter? And then comments on Health Integrated performance?
Rohit Kapoor: Sure. So the Ops Management growth rate organic constant currency was 6.1%. And the Health Integrated revenues were $3.7 million.
Vishal Chhibbar: $3.7 million.
Bryan Bergin: Is Health Integrated performing in line with expectations as well? That was the question for that one.
Rohit Kapoor: Sure. So, Health Integrated, as we have mentioned previously is a challenge asset, which has a bit of restructuring going on within it. We have put in a huge emphasis in terms of strengthening the operational delivery, adding our CareRadius platform to the Health Integrated business to provide greater visibility in terms of the service that we provide to our clients. And that program is pretty much continuing on track, and we would expect that the implementation and execution of CareRadius would take place by the end of this year. In terms of the revenue and profitability of Health Integrated, the revenue of Health Integrated clearly has been below our initial baseline expectations, but in line with the revised guidance that we provided last quarter, which is about $17 million to $18 million for the full year. And also on the profitability, we have said that Health Integrated would be having a dilutive impact of $0.16 to $0.18. And we now expect it to come in at the high-end of that range.
Bryan Bergin: Okay, that was helpful. As you fold SCIO into the Analytics business, can you talk about your expectations on the Analytics gross margin? And then the mix of discretionary project-based work versus the annuity stream base of business in that -- in the overall Analytics profile now. Thank you.
Rohit Kapoor: Sure. So as we've indicated previously at the time of doing the acquisition, SCIO does have a higher gross margin and a higher adjusted operating margin than the company average. And -- but it's only slightly higher and this is exactly how it played out in the third quarter. SCIO does have a large part of its business, which is related to driving business outcomes for its clients and, therefore, is much more of outcome-based pricing model that's in place. The business will be lumpy and will be associated with how we deliver value to our clients, and we will get compensated as a basis for that. But keep in mind, our overall Analytics business has now become a very substantial and a very large-size business, which is quite well-diversified. And therefore, we expect, on an ongoing basis, some of these lumpiness to get smoothened out and, frankly, we should be able to provide more consistency in terms of our operating results.
Operator: Our next question comes from Frank Atkins with SunTrust. Your line is open.
Frank Atkins: Thanks for taking my question. First, wanted to ask on Consulting and Digital. You talked a little bit about the talent investments going on there. But could you give us just a status update of where you stand? And what are some of the areas of demand, growth there going toward?
Rohit Kapoor: Sure, Frank. Consulting for us this year has been a strong performer. And as you know, we've right-sized that business. And we have reoriented some of the service lines within Consulting that is leading to growth in this business. And we're also being able to work very nicely on our strategy of consult to operate, which is, go in into a client engagement, help them with thinking through off their business operations, as to how they can be transformed, how they can use some of the digital levers and then help them in the implementation and execution of that strategy. The areas where we're seeing heightened amount of demand and growth in these businesses is around robotic process automation. That's something, which is resonating very nicely. We also have a capability of doing a blueprinting exercise that creates a digital blueprint for our clients, which rarely outlines an optimal structure in terms of how they should transform their operating processes and their businesses. And that's working very well. And some of the implementations around embedding analytics, machine learning, applying some AI capabilities, those are working very well with our clients. So we think this was the right play for us and the investments have been made in this is shaping already exactly as per our investment thesis.
Frank Atkins: Okay. That's very helpful. And then just wanted to touch briefly, can you give any color on the Travel, Transportation & Logistics segment. What happened in the quarter? And what do you see going forward in terms of pipeline?
Vishal Chhibbar: Yes, Frank. The Travel, Transportation & Logistics, business this quarter had lower volumes emanating from one of, some of our clients there. And again, this is something, which we don't expect to continue. We think that the underlying business is shaping well. They are building a good pipeline for 2019. And we think that the impact of this seasonality was onetime impact.
Operator: Our next question comes from Dave Koning with Baird.
Dave Koning: And, I guess, first of all, for me, just on the Healthcare segment itself, the organic growth has been negative, and I know you called out some of the reasons for that. Is, should that turn positive again in early '19, as we, kind of, anniversary some of the headwinds, should we get back to more than normal, kind of, mid- to high single-digit growth in that segment?
Rohit Kapoor: Yes. Hi, Dave. The Healthcare segment, we called out some of the clients that had transitioned out of there, but it's, you're absolutely right, this is a very strong industry vertical for us, and we would fully expect that this, as we go into next year, would correct itself in terms of the growth rate. If we take a look at the pipeline that we're seeing within Healthcare, that's very strong. And some of the capabilities that we've got within Healthcare are very well differentiated. And they are something, which resonate very nicely with our clients. So we are seeing some wins that we've already had. And some more that we think are there in the pipeline. And therefore, next year should play out very differently from this year on an organic constant currency basis.
Dave Koning: Okay, great. And I guess, secondly, if next year, if your core growth continues to be, kind of, around that high single-digit mark, and you've done that for a long time, plus you get the benefits of acquisition, it seems like revenue should be in the low-to-mid-teens. Can EPS grow at that same level? Or is there anything that we need to think about from either a margin standpoint or tax rate? I just want to make sure we are not, that we, kind of, understand going into next year if there's anything, at least, one-off that you're seeing so far.
Rohit Kapoor: Right. So the biggest reason for the drag on our adjusted EPS margins for this year has really been Health Integrated, which, as we have said, has impacted us by about $0.16 to $0.18 for the year. And we now expect it to be at the top-end of that range. For 2019, we would fully expect that in the second half of 2019, Health Integrated would get to be at breakeven levels and not have such a drag on our EPS. So that's one big factor that's going to actually be quite different in 2019, as opposed to 2018. We also think that the integration of SCIO into our business, which has better margins should be helpful. And we think that if we can continue to grow our business at these double-digit growth rates, that it gives us opportunity for operating leverage and for us to be able to improve our margins. So we think that this should be a nice growth going into 2019 both in the top line and in the bottom line.
Dave Koning: Great, okay. So next year starts to fit more, kind of, that typical long-term profile. And really this year would have as well if it wasn't for the Health Integrated, the one-off things here, this year would have been a very normal and good year too.
Rohit Kapoor: That's correct. So if you take a look at our adjusted operating margins excluding Health Integrated, I think, those have expanded quite nicely over the year.
Vishal Chhibbar: So just to give you the facts, our UPM for 2018, on a reported basis, is 13.8%, but includes the impact of Health Integrated. If you exclude the impact of Health Integrated, our 2018 and YTD number is about 15.3%. And for the year, we do expect that to be in the same range. That would be an increase about 80 basis points in our adjusted operating margin from 2017.
Operator: Our next question comes from Edward Caso with Wells Fargo. Your line is open.
Justin Donati: This is Justin Donati on for Ed. Can you talk about any early success you've had cross-selling SCIO's analytics solutions in your health care customers?
Rohit Kapoor: So right now, I think, it's too early for cross-sell success to have been consummated. Certainly, some of the dialogue and the discussions that we've had with clients of SCIO and clients of EXL for the combined capabilities, those are resonating quite nicely. And therefore, we do think that there would be a nice synergy play between the 2. One of the areas that we had highlighted as a strategic rationale for doing the acquisition was the comprehensive capability that we would have around Care Management, where we would have the capabilities around the ownership of the technology platform and CareRadius, the clinical capabilities, both onshore and offshore that EXL healthcare already had. And the analytics capability that SCIO brought within Care Management. That combination of analytics plus technology platform plus operations in Care Management is unique in the marketplace. And that conversation is resonating very nicely with our clients. We also think there's a huge opportunity to scale up the payment integrity business, both with the clients of SCIO as well as with some of the clients of EXL. And therefore, there's a lot of opportunity out there. But right now, we're pretty much in a discussion phase. And these acquisitions, I think, integrate and play out over a 2 to 3-year period. And so it'll take us some time to be able to deliver the business results.
Justin Donati: Great. And then you commented on adding a few clients that could become top accounts. Over what time frame do you see that playing out?
Rohit Kapoor: Yes. So we have been very pleased with our client acquisitions in 2018. And some of the acquisitions that we've had of these clients are very substantial and strategic. In a few of these cases, we think that the ramp up will take place over the next 18 to 24 months. And they should start contributing and be some of our top clients in that time frame.
Operator: Thank you. And our next question comes from Vincent Colicchio with Barrington Research. Your line is open.
Vincent Colicchio: Yes, Rohit. Curious in the UK given some of the turbulence around Brexit, are you seeing any impacts in the pipeline?
Rohit Kapoor: Yes. Hi, Vincent, no, we are not seeing any real impact with Brexit with our clients out there. What we are seeing is that there is some opportunity, particularly with the new GDPR in our regulations. And that's providing us with some growth opportunities. We're also seeing an increase in demand in the pipeline with our clients in the UK as well as in Continental Europe. And I think that's something where we're seeing more growth and more diversification of our business to take place.
Vincent Colicchio: And question on the outcome based -- if we look at the organic outcome-based business -- sorry, on the organic business, what portion is outcome-based today? And how does that compare to the year-ago period and where do you see that trending?
Rohit Kapoor: So today, we have about 36% of our revenues, which is transaction-based pricing or outcome-based pricing. This is increased over the previous years, and our expectation is that as we move forward into next year and the following year, this will continue to increase. However, the pace of change to transaction-based pricing and outcome-based pricing is quite slow, because it takes time for clients to adjust to these types of new commercial models. And these take place over a period of time. So this is not going to be a rapid switch, but I think it's going to continue to move in that part in a pretty much for a secular trend.
Vincent Colicchio: Thanks for answering my questions.
Operator: Thank you. And our next question comes from Puneet Jain with JP Morgan. Your line is open.
Puneet Jain: Hey. Thanks for taking my question. So just to be clear, like, if this year's margins are running at 15.3% excluding Health Integrated headwinds, should that be the baseline level of margins for next year?
Vishal Chhibbar: So Puneet, I think, if we are able to turn around Health Integrated business and that, like Rohit mentioned, we do expect the Health Integrated business to be breakeven for us in the second half of 2019. We do expect there will be marginal improvement and a base -- over the -- this base rate, where we'll end up at 14.1% for the year including Health Integrated.
Puneet Jain: Understood. And you should also get some currency benefits like if, let's say, FX stays at current levels. Is there a way to think about FX tailwinds to margins next year?
Vishal Chhibbar: So typically, we do have some benefits, but those are very marginal, because of our accounting treatment. We take the FX gain and losses, so 60% of our portfolio is where that the currency is being borne by the client or our revenues are in USD dollar or GDP with original billing currency. So the balance 40% we hedge out. And gain and loss on the hedge typically offset the currency movement. So for example, for this quarter, our -- we had only 20 basis impact on our margins from FX tailwind, but bear in mind that 20 basis offset -- gets offset by lower interest income you get from Indian investments, because of your large amount of Indian investments. And that typically offsets and so at adjusted EPS we are neutral. So we don't expect any tailwinds or big impact to our adjusted EPS or margin from the currency depreciation.
Puneet Jain: Understood. And can you also talk about, like the healthcare clients that transitioned out, like, were those heritage EXL's clients, they came from SCIO or Health Integrated. And also what were the reasons for those decisions?
Rohit Kapoor: Yes, Puneet. We had shared this previously as well. And the clients that transitioned out were EXL clients, basically, who wanted to move into their captive operations. And that's what took place. Health Integrated at the time of doing an acquisition, there was a large client that was transitioning out and, therefore, the revenues for Health Integrated have declined from quarter 1, down to Q2 and Q3. The good news, I think, on Health Integrated is that we have started to now see us win new clients in Health Integrated. And actually Q3 revenue was slightly above Q2, and we expect Q4 revenue to be above Q3 as well in Health Integrated. So we think that we've hit bottom on Health Integrated from a revenue standpoint. And it should provide us with growth opportunities going into the next few quarters.
Operator: Thank you. Our next question comes from Craig Jones with Stifel. Your line is open.
Craig Jones: I'm just looking for the stock comp and amortization for 2018.
Vishal Chhibbar: Yes. Stock comp is between $24 million to $25 million for this year. And what else did you want? Amortization of intangibles is about $21 million.
Craig Jones: Okay, great. And then what -- and then for the year, so it looks like your operating margins come down, do you have a new expectations for what that will be for coming in 2018?
Vishal Chhibbar: So as I mentioned earlier, our operating margins for the year, we expect it to be around 15.3%, excluding Health Integrated. For the year, including Health Integrated, we do expect that to be around 13.8% to 14%.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to turn the call back to Mr. Rohit Kapoor for any closing remarks.
Rohit Kapoor: Thank you, operator. Thank you all for joining our third quarter earnings call. Our core business, as we have said, continues to perform very well. And we are very sharply focused on making sure that the integrations of the acquisitions go well. And that we make the transition towards gaining strength and capabilities around digital. We'll continue to focus and execute on our strategy going forward this year. And we look forward to hosting you in the next quarter's call next year. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone, have a great day.